Operator: Welcome to The J. M. Smucker Company’s first quarter 2009 earnings eonference call. (Operator Instructions) I will now turn the conference call over to Mark Belgya.
Mark R. Belgya: I am the company’s Chief Financial Officer, and thank you for joining us this morning. Also on the call from the company are our Co-CEOs Tim Smucker and Richard Smucker, and General Managers; Vince Byrd, Steve Oakland, Mark Smucker, and Paul Smucker Wagstaff. After this brief introduction, I will turn the call over to Richard for opening comments. I will then review the financial results for the quarter, and Tim will comment on the status of our recent Folgers announcement and provide closing remarks. At the conclusion of these comments, we will be available to answer your questions. If you’ve not seen our press release, it is available on our website at www.smuckers.com. A replay of this call is available on the website in downloadable MP3 format. If you have any followup questions or comments after today’s call, please feel free to contact me or Sonal Robinson, Director of Corporate Finance and Investor Relations. I would like to remind you that certain statements in this presentation and during the question and answer period that follows may relate to future events and expectations and as such constitute forward-looking statements within the meaning of the Private Securities Legislation Reform Act of 1995. I invite you to read the full disclosure statement concerning such forward-looking statements in the press release. I also want to point out that the company uses non-GAAP results for the purpose of evaluating performance internally. Additional discussion on non-GAAP information is also detailed in our press release. With that, I’ll turn the call over to Richard.
Richard K. Smucker: I’d like to begin by summarizing the key highlights for the quarter. First, we delivered record results for our first quarter. Quarter’s 18% sales growth was broad-based essentially across all of our brands. While pricing contributed to much of the increase, volume was up in a majority of our categories highlighting the strength of our strategy of focusing on leading brands. Also in line with our strategy, recent acquisitions played a role in this quarter’s successful results and non-GAAP earnings per share were up 14% led by increases in operating income, lower tax rate, and fewer outstanding shares. These results were achieved despite significantly higher costs compared to last year’s first quarter. Second, we are well positioned for this year’s Back-to-School and Fall Bake periods during our seasonally strong second and third quarters. Our pricing is in line with our cost and we are comfortable with our cost coverage. In addition, we are confident in our ability to manage price gaps and to continue to grow our share of market. And finally, we are progressing with our plans to merge the Folgers coffee business into The Smucker Company in the last quarter of calendar 2008. The addition of Folgers builds on our center of the store focus and provides enhanced scale and financial benefits, and we believe that The Smucker Company provides a great home for the Folgers brand and the Folgers employees. Let me briefly comment on our performance for the quarter. We had good results in our US retail segment with sales up 13%. In the consumer area, The Smucker’s, Jif, and Hungry Jack brands all contributed, and Smucker’s Uncrustables remain strong. Essentially all products experienced value gains with the exception of peanut butter which was anticipated. Last year’s comparison included the impact of the competitors supply interruption leading to a slight decline in tonnage this quarter. This situation has increased the volatility of the category over the last 18 months. Jif’s share of market has increased by 1 full point and volume has increased by 7% over the past 2 years demonstrating the strength of this brand. For some time, we have pulled back on our promotional activities with the increase demand for our products. However, we are now able to fully promote Jif and are looking forward to strong Back-to-School and Fall Bake periods. In oils and baking, Crisco, Pillsbury, and Eagle Brand milk were all up for the quarter. Crisco’s performance during the quarter reflected the significant price increases taken during the last year. Soybean oil cost has moderated over the past few weeks from highest earlier in the year, and Crisco is well positioned for a solid Fall Bake season. We are receiving great acceptance as we expand our distribution of Crisco olive oil. During the third quarter we will be launching our first national television spot featuring this product. In the baking area, mixes, frosting, and Eagle Brand can milk are experienced volume growth in the quarter. In addition, improved pricing and stable cost have improved profitability of the Eagle business as we anticipated. Pricing in the baking category has improved, and we are excited about our many opportunities in the upcoming Fall Bake season as our investments in marketing and new products provide continued growth opportunities. Our special market segments contributed significantly to sales growth. In Canada, the Carnation and Europe's Best acquisitions, and favorable foreign exchange rates added to our sales. Sales in the food service area experienced growth in both the traditional and schools channel while beverage sales were up in both branded and non-branded business. In summary, we delivered a strong quarter and a good start for the year. We are encouraged by the recent cost declines in several commodities and feel we have most of our cost covered through the end of the fiscal year. In addition, we look forward to new opportunities from the Folgers transaction. Folgers has a long tradition of being part of Memorable Meals and is an excellent fit in our family of brands. I would now like to turn the call back to Mark to have him review the financial results.
Mark R. Belgya: Sales were up 18% for the quarter reflecting price increases taken over the last 12 months. The acquisitions of Carnation, Europe's Best, and Knott's Berry Farm also contribute to approximately $31 million of sales during the quarter. While overall tonnage was down approximately 4%, we were encouraged by gains in nearly all categories despite having passed on several price increases. The decrease in oils which account for the majority of the volume shift was expected as we have taken price increases in excess of 50% in the past 12 to 18 months. And finally, favorable exchange rate contributed to approximately $5 million to sales. GAAP earnings per share were $0.77 this quarter and $0.71 in the first quarter of last year including restructuring and merger and integration cost. Excluding these charges in both years, earnings per share were $0.82 this quarter and $0.72 in last year’s quarter, an increase of 14%. Pricing actions have offset higher commodity costs, primarily soybean oil, peanuts, and wheat contributing to an overall increase of $22 million in gross profit. While price increases contribute to the overall gross profit increase, the incremental dollars do not provide gross margin expansion, and gross margin declined from 33.1% to 31.3%. Other factors impacting gross margin were increased fuel cost, the loss of higher margin peanut butter sales, and unfavorable product mix. As expected, margins improved in the Eagle business compared to last year, partially offsetting these declines. The trend of SG&A declining as a percent of sales continued this quarter, decreasing from 20.8% to 19.9%. This helps to mitigate the gross margin impact. In line with our brand building efforts, marketing cost increased 16% compared to last year with most of the increase in Canada and specific to our oils and baking business in the US. We expect marketing to increase at a greater percent in the future quarters primarily in support of the continued roll out of Crisco olive oil. Corporate overhead expenses increased to only 3% leading to an overall decline in SG&A as a percent of sales. Distribution costs were up for the quarter as we incurred upfront costs associated with opening two new distribution centers in Chicago and West Memphis, Arkansas along with distribution network charges in Canada. Operating income increased almost $5 million for the quarter excluding charges, but declined as a percent of sales from 12.6% to 11.4%. Last year’s quarter included a $1.9 million pre-tax gain on the sale of the industrial ingredient business in Scotland benefiting last year’s operating margin by 30 bases points. Excluding this gain, net operating margin declined by 90 bases points. Now turning to segment results, sales in our US retail segment were up 13% in the first quarter. Sales in the consumer area were up 11% with every category up in dollars. As noted earlier, peanut butter did realize a modest decline in tonnage as competitive activity continued during the quarter. However, price increases taken the beginning of the year more than offset the impact of volume. In the oils and baking business area, sales increased 15% compared to last year due to price increases taken over the course of fiscal 2008 and volume gains in mixes and frostings. In the special market segment, sales increased 34%. Canada contributed over three-quarters of this increase primarily due to the impact of the acquired Carnation and Europe’s Best businesses and favorable exchange rates. Canada also experienced sales growth in condiments, fruit spreads, and baking categories. Food service sales were up 13% led by pricing, the addition of the Knott’s Berry Farm business, and volume growth in the schools channel. We did experience some softness in our traditional portion control business reflecting the current trends in away from home dining. Finally, sales in our beverage business were up 11% primarily due to pricing. Looking at other key EPS components, interest income decreased approximately $2.2 million reflecting last year’s use of cash to finance acquisitions and fund the company’s stock re-purchase program. As a result of the re-purchases, weighted average outstanding shares for the quarter decreased $57.3 million to $54.7 million. Our effective tax rate declined from 36.1% in last year’s first quarter to 33.3% this year primarily due to the negative effect last year of the divestiture in Scotland and the resulting repatriation of foreign earnings. Excluding the Scotland impact, last year’s rate was approximated to 34%. And finally, net cash from operations for the quarter was $55.5 million, up significantly from last year. I would now like to turn the call over to Tim.
Timothy P. Smucker: As Richard mentioned, we had another record first quarter with solid sales and earnings growth. We are off to a good start and we are well positioned for another good year. We’ve introduced several new products recently and have developed plans for strong marketing support on our brands. Our pricing has aligned with our cost and we are encouraged by the recent downturn in the cost of several key commodities. Our momentum is positive; it is too early in the year to make any changes in our expectations. Although we remain on track and still expect our fourth quarter calendar 2008 close for the Folgers transaction, we do not have a specific date to share with you at this time. As we near closing, we will have a better idea of how many months of operations will be included in the combined company and then be in a better position to estimate the level of synergies to be realized in the current fiscal year. As a result, we have not changed our outlook for the year and confirm the guidance we issued in June. We expect fiscal 2009 sales of approximately $3.8 to $4.0 billion and earnings per share of approximately $3.45 to $3.50 excluding one-time cost associated with the transaction. To help monitor progress of the Folgers transaction we thought it would be helpful to outline the key milestones or priorities we are using to guide integration and closing activities. First, our seamless integration with our customers and consumers is the primary objective. Members of the Folgers, P&G, and Smucker teams have been working on establishing the key activities to ensure this is accomplished. Second, addressing all employee related issues is very important to Smucker. Consistent with our people basic belief, we recognize the impact that this transaction has on all affected employees and are working diligently to address all issues and concerns. Third, achieving the $80 million synergy level is a key objective. Over the next several months, teams from Folgers and Smuckers will continue to work on confirming opportunities and then tracking success against the synergy target. We have achieved several key activities since our year-end call in June. First, we received FTC clearance in July on our Hart-Scott-Rodino filing; second, we have filed with the SEC our proxy for The Smucker’s shareholders special meeting as well as The Smucker registration statement and are in our comment period regarding those filings. Third, we held several key integration planning sessions as we work to finalize the transition services that Procter & Gamble will provide following the close of the transaction. Fourth, as we learn more about the coffee business, we have gained further insight into the equity of the Folgers, Dunkin' Donuts, and Millstone brands, and the unique offerings of each of those brands. And finally, we have expanded our knowledge of the coffee supply chain as both Vince and I traveled to Brazil last month to gain a better understanding of the coffee procurement side of the business. As we learn more about the business and get to know the employees better, it reaffirms our belief that Folgers is an excellent fit strategically. As a No. 1 in retail package coffee brand in the US, it is clearly aligned with our strategy to own and market the number one food brands in North America. This powerful additional provides increased size and scale that will benefit all of our businesses, and the transaction is financially compelling as it greatly improves our margin structure and adds significant cash flow, allowing us to continue to execute our strategy. In addition, Smucker’s shareholders who are shareholders as of the record date, which will be prior to the merger will receive a special dividend of $5 per share. Based on our current stock price, the special dividend provides an immediate return of approximately 10% to Smucker shareholders. In closing, the key takeaways are, we continue to implement our strategy and look forward to the addition of the Folgers coffee business, an excellent strategic fit. Second, we delivered record sales and earnings in the quarter. Third, our pricing moves have caught up with our cost increases, and we are beginning fiscal 2009 and beyond with strong top and bottom-line momentum. And finally, we are well positioned for fiscal 2009 and remain optimistic about our opportunities. We want to thank our employees for all their efforts. They continue to focus on growing our core business while integrating the Knott's Berry Farm and Europe’s Best acquisitions, and they are putting in a significant amount of effort related to the Folgers transaction. We would not be able to achieve our success without our talented and dedicated employees. We thank you for your time today and now we’re happy to answer your questions, but before we do that, I just wanted to mention that as Mark mentioned at the beginning, we have all the same senior management people here with us today to answer your questions, but due to the Folgers transaction each of them are transitioning to new roles and responsibilities. We look forward to your questions.
Operator:  (Operator Instructions) Our first question comes from Farha Aslam with Stephens.
Farha Aslam - Stephens Inc.: Congratulations on a great quarter. First, if you could share with us some color about the olive oil initiative that you have; clearly you’ve been studying it for the last couple of years and now are starting to put marketing behind it; what’s the potential of Crisco olive oil and is this is a higher margin product for you and are the sales incremental? 
Paul Smucker Wagstaff: And yeah, we’re actually very excited about the olive oil opportunity. We have been in the business for the last couple of years and we are expending basically nationally and I think as Richard mentioned we’re doing some national TV advertising in the third quarter of this year. The margins of the olive oil business are actually better than our regular Crisco business or base oil business and so we are pleased with that side of the opportunity, and it is incremental business to us.
Farha Aslam - Stephens Inc.: What’s your target in terms of sales, if we could use it as a benchmark going forward?
Mark R. Belgya: As we were with Uncrustables, we’re still early on and as you know that’s the largest or the fastest growing segment of that move. At this point we’re probably not going to scale or size out the amount other than that it’s a real opportunity for us. And you are seeing evidence of that is that we have speeded up the rollout.
Farha Aslam - Stephens Inc.: Okay. And what was Uncrustables growth in the quarter.
Mark R. Belgya: It was double digits.
Farha Aslam - Stephens Inc.: In the proxy that you guys filed, it looks like you have given fiscal ’09 projections for sales and EBIT. And if you look at the sales number it translates into $3.7 or $3.8 million assuming half a year of Folgers, but your guidance today and in the fiscal fourth quarter was sales of $3.8 to $4 billion. Could you just clarify the difference?
Mark R. Belgya: For that $3.8 to $4 billion, I think, early on we announced that until we get a little bit closer to closing and look a little more at the actual results of both our business and Folgers business, we’re probably going to state to you that, I think that, the lower end of that as you are suggesting probably is the better target at this point.
Operator: We’ll go next to Eric Katzman from Deutsche Bank.
Eric Katzman - Deutsche Bank: A few questions; can you describe the discussions you are having with the retailers vis-à-vis the significant price increases that you’ve had to put through versus the recent rollover in input cost and how that affects your planning with them?
Steven T. Oakland: I guess I’ve been involved in many of these. The input costs that are softening right now are very volatile and we’re talking about something that’s happening as we speak, literally, you know the last week or so. So, most of our retailers are planned out so far, and they understand that we’ve got pricing commitments and inventory commitments; soybean oil is in a railcar for a month before you produce it. So, they recognize it. They don’t expect pricing changes if the commodity market moves the same day. So, as we look at pricing for Easter, as we look at those next periods; that’s probably when these discussions will happen. So, I think all retailers are set for both Fall Bake and Back-to-School.
Eric Katzman - Deutsche Bank: And it sounds like you feel quite confident about the business pre-Folgers and from a demand standpoint, can you clarify what volumes would have been, I guess, excluding the elasticity on the Crisco business?
Mark R. Belgya: In terms of the overall company?
Eric Katzman - Deutsche Bank: Yeah.
Mark R. Belgya: We’ve been pretty close to being flat to maybe even marginally up in tonnage.
Eric Katzman - Deutsche Bank: Okay. The move to the center of the store and how that benefits you; are you in fact seeing that, do you feel that that can continue or is the benefit that consumers may be getting from lower gasoline prices may snap that back the other way and then consumers go back towards eating away from home.
Paul Smucker Wagstaff: We were just with our food service group the last two days and we talked to them about what’s happening in the food service industry and there has been a shift and we don’t expect that to, people are changing their habits somewhat, eating out a little bit less, and we don’t expect that to snap back to in a short period of time. These are, we think, more longer-term trends, and we think that boards well for our core business, the center of the store.
Eric Katzman - Deutsche Bank: Okay. And then Mark, just one or two specific financial questions; the restructuring charges, where exactly were they in the segment P&L?
Mark R. Belgya: They are split, Eric, about half of the total of the $5 million; well actually a little bit more than half was in Canada, but all these charges are more of merger and integration, and the other half, I guess, actually a little bit heavier would be in special markets because our main charges are with the Europe’s Best in Canada and not very exactly split between food service which also is in special markets and in consumers; so it’s a little bit more heavily skewed in the special market segment.
Eric Katzman - Deutsche Bank: Okay. Just trying to true up a model versus a year ago, was there any restatement in the year ago numbers in terms of SG&A?
Mark R. Belgya: I don’t think there was any restatement in SG&A. The only thing that might have changed, but it wouldn’t affect SG&A, is that we brought up what we used to call miscellaneous income; for example, the gain on sale of the Scotland business, that was below operating margin in previous years, and we brought that up to above operating margin in the fourth quarter of last year. To my knowledge that’s the only thing that would’ve changed.
Eric Katzman - Deutsche Bank: So the Scotland piece went up into SG&A rather than being in the miscellaneous other income?
Mark R. Belgya: It actually came in as a separate line on our income statement; so it’s called other operating income, and that shouldn’t be in the SG&A line. It’s actually other operating income/expense net.
Operator: We’ll go next to Jon Andersen with William Blair.
Jon Andersen - William Blair & Company: I was wondering if you could comment a little bit on the consumer behavior and any impact you are seeing with the price increases that have gone in with respectable spread between branded, your brands and private labels, and whether you are seeing any share shift there with respect to brands versus private label under your major categories?
Steven T. Oakland: Private label across the board is doing okay in these economic times, but as we look at our brands virtually every brand is up. We talked about the peanut butter scenario, but if we look at peanut butter over two years, we’re up significantly. Although private labels are doing well clearly and the value-based retailers are doing well, we’re seeing brands sell, we’re seeing them sell in a little different size mix, we’re seeing them sell in a little different retailer mix, but our products are pretty much core staples and they’re doing pretty well.
Richard K. Smucker: And I might add to that that our strategy is to own the number one brand which we also believe that’s a great strategy to go hand in hand with the private label brand, always having to have a number one brand in the private label and that’s proving to be helping us. Also, private labels lag in the price increases and now most private labels brands have caught up, and so the gap between private label and branded is closer than it was a year ago when this commodity cost first started to really ramp up. So, I think we’re actually in a better position this year than we were last year at this time.
Jon Andersen - William Blair & Company: Great. I know it’s recent, the downturn in certain commodity markets recently, but are you in a position to benefit from that this year or is that more of a fiscal 2010 benefit, and I guess that depends on your hedge position for the balance of the year, but I was wondering if you could comment a little bit on that?
Paul Smucker Wagstaff: I would say that, again, answering that question from a coverage standpoint, we’re in very good shape through Fall Bake and we feel comfortable with our price versus cost relationships. So I think overall we’re pleased with where we are.
Jon Andersen - William Blair & Company: Excellent. And I guess the last question, not sure if it is Tim or Richard commenting on, for a better understanding of some of the equity in Folgers and Dunkin’ Donuts and Millstone brands based on some of the work that you’ve done since the last call; just wondering if you can provide a little bit more color on what you’ve learned around the equity there and what that might imply in terms of how you invest and grow that brand over the next several years?
Vincent C. Byrd: Obviously, we’ve been focused on listening and learning and trying to better understand the brands. Tim mentioned that I made a trip to Brazil with a couple of the Folgers employees. The bottomline is, as Richard mentioned, these are very strong number one brands sold in the center of the store, and we believe with our history of being able to take brands and grow them, we basically feel that we can do the same with these. So, we remain very very enthusiastic about the opportunity to manage these long-term.
Operator: We’ll go next to Alex Bisson with FTN Midwest.
Alex Bisson - FTN Midwest: I guess first of all, the merger and restructuring charges; are those complete with respect to Knott’s and Europe’s Best or should we expect more going forward?
Mark R. Belgya: I would say there probably is going to be some trickling during the second quarter, but we’re anticipating a couple of key milestones, if you will, in terms of the production relocation of Knott’s Berry into the Smucker facility during the end of the second quarter, and then also, the consolidation of some of the administrative support that came with Europe’s Best into our corporate headquarters in Markham up in Canada. So, there’ll be some, but I think that at least the majority of those specific to those acquisitions are pretty much inhouse.
Alex Bisson - FTN Midwest: I guess secondly when you look at the special market segment, I guess, it was down a little bit year over year, I guess, some of that was really good quarter last year and some charges this year, but could you maybe just talk a little bit more about what happened there this year.
Mark Smucker: The special market segment actually, if you look at Canada, has been doing very well. In fact most in of our categories, not only dollars, but volume is up as well. The international is very small, so we don’t really talk about that very much, but in the food service area actually the growth has been good, we have seen a little bit of that softness in the industry as it relates to the traditional side as we call it, but in the school side, we are looking for a pretty strong Back-to-School period for the Uncrustables.
Alex Bisson - FTN Midwest: Finally, how much was your marketing spend-up in the quarter?
Mark R. Belgya: It was up 16%.
Alex Bisson - FTN Midwest: As you look at the different types of marketing that you are doing, are you seeing a change in the return on that promotion, say compared to six months ago or a year ago; maybe another way of asking that is are consumers responding differently to your different types of promotions?
Paul Smucker Wagstaff: I don’t know that we can tell that this early, but one thing we will say is a year ago we couldn’t promote peanut butter and jelly together for Back-to-School, and Back-to-School this year, which is going on as we speak, literally, we’ve got peanut butter and jelly merchandised together and we know that helps a lot. So, we’re excited about that.
Timothy P. Smucker: I think I would just add to that, we always have been a long-term investor in marketing and continue to be the number one spender in our respective category. So, it’s very difficult to measure from quarter to quarter, but one of the best things is that the brands that we have are really marketed much more closer together and going forward, I think, the message we got in June is that the best way of starting the day waking up is with Folgers in your cup and Smuckers on your toast and the best way of ending the day is with Folgers in your cup and some Pillsbury. So, those are the long-term messages and we will stay with those for long-term. It is very difficult to say from quarter to quarter how those change, but long-term we’re really committed.
Vincent C. Byrd: I would probably add one other comment; as consumers look at different sizes we’re helping with our customers to develop effective promotional strategies given some of the price increases that have been taken in some of the categories. So, we like most companies, continue to work with them closely to maximize those promotional dollars.
Mark R. Belgya: Just one last comment circling back to special markets and marketing or overall corporate marketing as I said was about 16%, but another driver was the investment on marketing side in special markets particularly in Canada which over-indexed the company. So, that was another cause for some of the margin impact.
Operator: We’ll go next to Eric Serotta with Merrill Lynch.
Eric Serotta - Merrill Lynch: Clearly a very strong quarter with organic net sales, gross profit dollars, operating profit, and EPS well ahead of what I was looking for and well ahead of what I presume the street was looking for on most of those matrix. You didn’t raise your full-year guidance; I could understand the conservatism given the commodity environment and economic environment we are in as well as the timing of the Folgers deal; I guess, I’m just wondering though were there any factors in the fiscal first quarter in terms of timing of, either timing of sales, pull forward of sales, or timing of costs, or trade promotional activities that led to that better unexpected number in the quarter, that there could be some give-backs going forward?
Timothy P. Smucker: The answer is no, not at all. This has been a solid quarter and I think the fact that it was such a solid quarter this gives us more confidence in the year’s numbers.
Eric Serotta - Merrill Lynch: A quick housekeeping item; what are you guys looking at in terms of the tax rate for the full year?
Mark R. Belgya: If you look at the tax rate for the full year, I think we’re looking at 34.5%, but with Folgers; Smucker’s standalone we’re more close to last year’s 33%.
Eric Serotta - Merrill Lynch: Okay. So until Folgers closes something, it will look for something closer to what you did in this quarter?
Mark R. Belgya: That’s correct.
Eric Serotta - Merrill Lynch: Okay. And lastly on the question of commodity coverage; I know you don’t reveal your specific hedge positions for competitive reasons like most companies, but given the significant pullback that we’ve seen in some of your key commodities like soy oil and the like, do you think that there is some respite if this continues that some of your hedges could be effectively out of the money or in that drag or are you comfortable that even if we see continued correction in some of these commodities that your hedge positions will still be favorable relative to the markets?
Paul Smucker Wagstaff: We’re in pretty good shape. We do chew hedges, so we cover them, put some calls; so if it goes up or down too much we want to make sure that we’re getting the cost that we committed to our retailers. So we don’t really try to make gains or take losses. We’re pretty solid. I think the confidence this gives us is that when we thought we might be having to go back to the retailers after the first of the calendar year, it looks less likely that we’re going to have to do that now with the commodity cost moving the direction that they are heading.
Operator: I’ll now turn the conference call back to you to conclude.
Timothy P. Smucker: Again, we’re tremendously excited about the great start to the year and anticipate a great year and particularly excited about the closure of the Folgers this fiscal quarter. Thanks a lot and have a great day.